Operator: Good morning, and welcome to the Cogdell Spencer Inc. third quarter 2010 earnings conference call. All participants will be in a listen-only mode. (Operator instructions). Please note this event is being recorded. I would now like to turn the conference over to Jaime Buell. Please go ahead.
Jaime Buell: Thank you Carnell. Good morning everyone and thank you joining us today for Cogdell Spencer’s third quarter 2010 conference call. The press release and supplemental disclosure package were distributed yesterday afternoon, as well as furnished on Form 8-K to provide access to the widest possible audience. In the supplemental disclosure package, the company has reconciled all non-GAAP financial measures to the most directly comparable GAAP measure in accordance with Reg G requirements. If you did not receive a copy, these documents are available on the company’s website at www.cogdellspencer.com in the Investor Relations section. In the same section you can find a live webcast of today’s call. At this time, we would like to inform you that certain statements made during this conference call, which are not historical, may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although Cogdell Spencer believes the expectations reflected in any forward-looking statements are based on reasonable assumptions, it can give no assurance that its expectations will be attained. Factors and risks that could cause actual results to differ materially from those expressed or implied by forward-looking statements are detailed in yesterday’s press release and from time to time in the company’s filings with the SEC. The company does not undertake a duty to update any forward-looking statements. With that, I’d like to introduce our new President and CEO Ray Braun, Ray?
Ray Braun: Thank you Jamie. Good morning and welcome to our third quarter earnings call. Chuck Handy, our CFO is here joining me this morning. We’re having the call from our ERDMAN office, up in Madison, Wisconsin. We’ll review the quarter, after we review the quarter we’ll be available to answer your questions. As this is my first earnings call with Cogdell Spencer, I’d like to begin by thanking the Board of Directors for selecting me as the CEO. I’d also like to thank many of you for your warm welcome to the company. Cogdell Spencer is uniquely positioned in the healthcare REIT sector and I look forward to the opportunities of growing our business. I’ll begin by reviewing our investment activities for the quarter, and then I’ll discuss professional services followed by portfolio performance. In July we acquired the St. Francis Outpatient Surgery Center in Greenville, South Carolina. The acquisition was paid for with cash and is being refinanced presently with a mortgage. It was an off-market deal sourced through our meaningful relationships with the hospital system. The facility was developed by an affiliate of Cogdell Spencer Urban in 2001. The building was acquired at approximately 8.5% year one to cap rate. This is now the fourth building we own on this hospital campus in Greenville in addition to two more medical office buildings on our sister campus. Our revenues from professional service contract supply in this quarter as discussed on previous calls, our pipelines slowed as many providers previously put projects on hold due to the macroeconomic environment and uncertainties surrounding healthcare reform. However, we expect to find some new contracts this quarter and we are seeing positive signs in market activity. We will update you on our prospects in detail when we provide 2011 guidance in our next earnings call. Regarding the portfolio, we had portfolio occupancy of 91.4%. We also had strong lease renewals as well in the third quarter over 90% of our leases renewed. This continues a positive trend that we have seen developing since the second quarter. At this point, I’d like to turn things over to Chuck for a look at the financials.
Chuck Handy: Thanks Ray. As noted in our earnings release, FFO modified or FFOM for the third quarter was $5.3 million or $0.12 per share in unit. Net loss for the third quarter was $1.8 million or $0.04 per share. Revenue for the third quarter totaled $39.3 million. Rental revenue for the quarter totaled $22.8 million, while revenue related to Design-Build contracts and Development totaled $15.7 million. Selling, general, and administrative expenses for the third quarter totaled $6.7 million, which included approximately $2.5 million of corporate G&A. We continue to expect full-year 2010 corporate G&A to be approximately $9 million after excluding the $3.1 million onetime pre-tax retirement expense for Frank Spencer recognized in the second quarter. During October, we refinanced the mortgage on Rocky Mount Medical Park by obtaining a $10.3 million mortgage that matures in October 2014 and provides for debt service at LIBOR plus 3.5% and a 25 year amortization schedules. For the third quarter, our interest coverage was 1.8 times and our fixed-charge coverage was 1.5 times. On July 21st we paid a dividend for the second quarter of $0.10 per share to holders of record on June 25th. At September 30, we had cash balances of $16 million and availability on our revolving line of credit of $76.8 million for total capital availability of approximately $92.8 million. During the third quarter, our portfolio occupancy increased by 40 basis points to 91.4%, and we ended the quarter with approximately 637 leases at our consolidated properties. Our largest tenant accounted for 6.8% of annualized rental revenue. With respect to our 2010 earnings outlook, we are reiterating our FFOM guidance for the year to be in the range of $0.47 to $0.51 per share in operating partnership unit. This guidance range excludes non-recurring events and impairment charges recognized during the first part of the year. With that, I would like to turn the call back over to Ray.
Ray Braun: Thanks Chuck. With that operator, we’ll open the call to questions.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions) At this time, we will pause momentarily to assemble our roster. Our first question will come from Michael Billerman from Citi. Please go ahead.
Quinton Valleli: Hi it’s Quinton Valleli [ph] here with Michael. Just in terms of the balance sheet. I know you’re pushing up against the ERDMAN term loan covenant. And with that in mind, how do you think about sources of capital in de-levering the company. I’m wondering if you can talk about the potential processing and maybe the pros and cons of rising common equity or preferred equity or maybe even convertible debt.
Ray Braun: I’m sorry, this is Ray Braun. I did not catch your first name?
Quinton Valleli: It’s Quinton.
Ray Braun: Quinton, okay. Yes, that’s a topic that’s one that’s at the forefront of our discussions right now. We are evaluating various capital opportunities. Those would include common, perpetual preferred, convertible preferred, convertible debt, standard debt and considering how those things would relate to our upcoming revolver maturity and the payoff of the term loan. So we are in the process of evaluating those now and meeting with our banks and figuring out what the best options are.
Quinton Valleli: And how do you view the ideal leverage level of the company?
Ray Braun: 50ish percent is what we’re going to continue to target.
Quinton Valleli: Okay. And then just secondly, as the new CEO, I’m wondering sort of what things in terms of the strategy you might be changing on your new leadership, I know you said that obviously growth is still a major priority, I’m just wondering whether strategically there is anything major that might be changing at this stage?
Ray Braun: So we will be evaluating strategic options as we close out the year and again looking at our business model and business plans for next year, right now the company has a differentiator with the ERDMAN model and we have opportunities to provide integrated project delivery that aren’t available to other healthcare REITs. So one of the things that I am focusing is executing with that model to continue to grow our contract pipeline.
Quinton Valleli: Got it. Thank you.
Operator: Our next question will come from Karin Ford from KeyBanc. Please go ahead.
Karin Ford: Hi good morning. Ray, just a question along the same lines in your new role as CEO. I know you have significant experience in previous jobs with other asset classes besides medical assets, can you talk about your early thoughts on Cogdell Spencer is a pure play medical assets company versus other areas within healthcare real estate?
Ray Braun: Good question Karen. That is one of the things that we’re evaluating as part of our strategic evaluation. You’re correct, I do have experienced in investing in other asset classes primarily in the senior housing area so far and talking to investors, there seems to be a split in opinion on whether we should grow as a more diversified REIT or whether we should stay as a pure play. I am going to be at the NAREIT conference in a couple of weeks and that’s feedback I’m going to be looking forward from various investors as we go through what our internal evaluation of that strategic decision.
Karin Ford: That’s helpful. Next question is just on the investment side. Can you talk about both the acquisitions and new development pipeline. What type of volumes the company might be working on and what are the trends on pricing that you’re seeing in both?
Ray Braun: Well in terms of acquisitions, the market is very competitive. And the cap rates are trending and continue to trend downward for quality projects. We think we did a good job of acquiring at an 8.5 cap rate due to our relationships. And we’ll continue to look at selective opportunities like that. In terms of our contract pipeline, we are seeing some increased probabilities of getting contract signed this quarter and looking to rebuild the pipeline. One of the things, I’d like to do is to get my arms around our process and pipelines a little better so I can provide more color on that for you going forward, and as I indicated in my remarks, you can expect some more detail in the first quarter.
Karin Ford: Thank you.
Operator: Our next question will come from Rich Anderson from BMO Capital Markets. Please go ahead.
Rich Anderson: Thanks good morning everyone.
Ray Braun: Yes. Hi Rich.
Rich Anderson: Hi Ray, I just wanted to kind of dibble back on the sort of plan and the privative [ph] of this conference call. Are you kind of not that I have a problem with that, by the way I just want to make that clear. But I’m curious as to, if that – just you’re waiting as you go through your process and looking at the company and its entirety and so you’re kind of taking a step back at this point from a public standpoint in terms of what your strategy might be. Is that the way I should be reading it, or do you just kind of prefer jumping into Q&A fast. I’m just curious as to structure of the conference call.
Ray Braun: The Board has asked me to come in and do an assessment of the company. I started on September 20.
Rich Anderson: Yes.
Ray Braun: So I haven’t been here all that long and I’m going to assessing our operation to the strategies through year-end and going back with recommendations to the Board. I think it would be premature and presumptuous of me to be taking any actions after having just joined the company. So I’m going to be in an assessment mode through the end of the year and I’ll be able to provide more color on strategic decisions after the first of the year.
Rich Anderson: So then we shouldn’t read into the fact that, the ERDMAN side kind of wasn’t really discussed in any detail on the call. It’s just simply you’re just kind of looking at everything and don’t want to just kind of show your cards just to get. Is that a fair way to think of it?
Ray Braun: I am evaluating the company and its operations and I have not reached any conclusions.
Rich Anderson: What are the potential decisions that are on the table as it relates specifically to ERDMAN, knowing you haven’t made any decisions, but what are the options, or is it an option to just disconnect from ERDMAN a little bit and redeploy into other property sides. Is that something that at least being considered?
Ray Braun: When you look at theoretical conceptual options, certainly selling ERDMAN is one of them. Certainly shutting down ERDMAN is one of them, grueling ERDMAN and executing better with ERDMAN is one of them. So we’re looking at a range of options and we’re going to decide which one yields the best prospect for us in the long-term.
Rich Anderson: You have some deep experiences as Karen pointed out in your previous position in HCN. In your mind – are there opportunities out there today let’s say in, I don’t know senior housing or something like that where you can build a platform fairly quickly or meaning like there are sizable portfolios out there in your mind that you can get your hands on, or is it – it would just be like a very long-term commitment to build something from the ground up?
Ray Braun: Well certainly growth is going to be part of our strategy. And you’re getting at the means of growth.
Rich Anderson: Right.
Ray Braun: And a means of growth available to us is to buy and/or develop other asset classes such as senior housing. And there are opportunities that are available that could be executed upon. So their needs to be a balancing of whether that strategy offers the best long-term value for our shareholders including introducing a new set of competitors for us or whether staying pure play yields a higher multiple and better growth opportunities.
Rich Anderson: So what’s…
Ray Braun: Those will be things that we consider as we go through this strategic time.
Rich Anderson: Okay, I think it’s very exciting to see what changes if anything. I’m certainly not criticizing, just curious.
Ray Braun: No, I’ll take it as that, I mean we’re going through the process right now and we need a little bit of time to do it and we’ll get back to you.
Rich Anderson: Okay. To what degree is Jim sort of giving you, certainly not giving you corpulence [ph] but I mean to what degree is manacle to a meaningful change at the company?
Ray Braun: Jim continues to remain on our Board of Directors and he serves as Chairman. And he is part of our Board discussions around any strategic change.
Rich Anderson: Okay, any designs on moving the headquarters out of Charlotte, or are you okay in Charlotte?
Ray Braun: We think Charlotte is a fine community and enjoy being there.
Rich Anderson: And in terms of sort of manpower, do you foresee any meaningful changes, let’s say you don’t go out buy senior housing portfolio and you just kind of stay as it is. Do you think that you’ll see any additions or subtractions to the professionals that are running the company. Do you think you need to grow your intellectual capital or are you happy with what you’re at right now in the company?
Ray Braun: As we have said, strategic options, part of that will be to look at the tactical implications including personnel changes if any. So we will be evaluating that as part of our strategic review.
Rich Anderson: I’m working here. Last question is an easy one for Chuck, you mentioned G&A its $9 million for your guidance, but then there is the – that obviously doesn’t include the G&A associated with ERDMAN, correct? And do you have a number for that, like a bigger G&A number for the year?
Chuck Handy: That is – you’re correct, that’s strictly corporate G&A. It is not related to the SG&A within the ERDMAN business segment and that’s not a figure that we’re putting out just going.
Rich Anderson: Okay, the $9 million is just…
Chuck Handy: It’s implicit in our guidance.
Rich Anderson: Okay, great. All right, thank you.
Ray Braun: Thanks.
Operator: Our next question will come from Dan Donlan from Janney Capital Markets please go ahead.
Dan Donlan: Thank you. Most of my questions have been answered. Just curious on the credit facility; you mentioned the expiration in March 2011, but I thought you guys had the ability to extend that out another year. Is that still going to be the case or you’re looking to renegotiate that all together?
Ray Braun: That’s certainly – we certainly have that option to extend for a year. And so we’re evaluating all of our options. So clearly that is one that we’re focused on but we’re – as we do, we’re engaged with our bank groups and we’re evaluating the appropriate steps to take but certainly we have that option available to us.
Dan Donlan: And I guess if you could Ray, the ERDMAN unit lost lots of money this quarter. Is that a trend you think that is going to continue going forward or could you maybe give us any type of clarity on where that may move in the next six to 12 months?
Ray Braun: So Chuck help me out with this one. I believe the company announced during the second quarter earnings call like we thought the last half of the year, we would see a slowdown.
Chuck Handy: Correct.
Ray Braun: And that is because of the pipeline – the contract signings slowing down. And we are now seeing some positive activity there. We hope to be able to disclose some of that to you next quarter, but it takes time to rebuild the pipeline. And so we think we’ll be bouncing along the bottom here for another couple of quarters.
Dan Donlan: Okay, and then as it relates to ERDMAN, is there an opportunity to kind of scale back ERDMAN, obviously keep it within your network but potentially I know it’s Design-Built and they offer kind of an all or none basis. Is there opportunity to maybe offer some of their services on à la carte basis.
Ray Braun: That’s one of the options that we’re looking at is offering services separate and apart.
Dan Donlan: Okay and do you think…
Ray Braun: Just that opportunity is there. There is also opportunities I think for us to sell our services better. So we’re looking at ways we can improve our sales team.
Dan Donlan: Okay. All right, well that’s it for me. Thank you.
Ray Braun: Great, thank you.
Operator: Our next question comes from Tayo Okusanya from Jefferies & Company. Please go ahead.
Tayo Okusanya: Yes, good morning. Ray, it’s really good to have you in the midst again. We’ve missed you since the HCN days.
Ray Braun: Well thank you, nice to be back.
Tayo Okusanya: Yes, a couple of questions for you. A lot of my questions have been answered, but it sounded like over the next few months you were just going to spend a lot of time doing a lot of evaluation on behalf of the Board. And I guess just realizing that would be the major part of what you’ll be doing for the next few months. Why did you feel comfortable enough signing up as the permanent CEO for the company in regards to that, what did you kind of see as the potential upside on a going forward basis?
Ray Braun: Right. So, the company has just gone through – like many of REITs, a very difficult period with the economic downturn. And the uncertainties surrounding healthcare reform and that resulted in a decreased number of project delivery opportunities. As we come out of this period certainly the healthcare system and healthcare reform will require a focus on healthcare facilities and delivery, and I think the company is very well positioned to succeed in delivering new buildings that will serve the system going forward.
Tayo Okusanya: Okay, that’s helpful. And then with the covenants on the term loan, I know you guys do get the one time exception to go as high as 3.75% but if you end up with two or three quarters of slow profitability at ERDMAN that forces you to be above 3.5% for two quarters in a row. Could you just talk about what the implications of that are, and what the remedies are? Whether there is a way you can get a waver by paying a fee or something of that nature?
Ray Braun: Well certainly there are opportunities to have discussions with the bank group about wavers, but I prefer not to be having those discussions. We’re currently scheduled to meet with the bank shortly, and we will be working through this issue as well as our revolver over the next couple of months.
Tayo Okusanya: Okay, that’ helpful. And then with ERDMAN, I heard your point about just slower signings in the market overall – last quarter and potentially this quarter, apart from slow signings is there sort of an issue out there with just other players in this space also kind of getting much more aggressive pricing wise that’s reducing the profitability of the business.
Ray Braun: Well I think there is a trend for more developers to claim the expertise to develop healthcare facilities, because the opportunities in other real estate asset classes are not as attractive. But I think we have some competitive advantages over those other developers who are new to the sector and a history and a track record that we can sell that will help us maintain our margins.
Tayo Okusanya: Okay and then the last question. If Universal Healthcare does become a reality in 2014, at what point, do you kind of think hospital systems start to react to that by trying to build more MOBs to do with the expected increase in admission volumes.
Ray Braun: So the hospital systems really fall into three different camps. There are some who are actively preparing right now as if it’s going to happen, trying to be ahead of the curve. There are some who are in the readiness mode planning how – what they’ll have to do facility-wise in a year or two, if it looks more probable with that that will happen and then there’s others that are wait and see [ph]. So we’re working with clients in all three camps and helping them figure out the right strategies for approaching healthcare – probable care organizations.
Tayo Okusanya: All right, sounds good to me. Look forward to seeing you at NAREIT.
Ray Braun: Thanks. Meet you soon [ph].
Operator: (Operator Instructions) We have a follow-up question from Michael Billerman from Citi, please go ahead.
Michael Billerman: Yes good morning, it’s Michael Billerman. Ray just, as you think about I guess evaluating the strategy on the capital side, have you engaged consultants or investment banks in that process?
Ray Braun: We have banking relationship primarily with companies that are in our line and we will certainly be using their services to help us evaluate these options.
Michael Billerman: Is Jim Cogdell on the phone?
Ray Braun: No.
Michael Billerman: He’s not. I’m just curious, I’m sure this is in your due diligence, you went through this. The company had gone through a strategic process last year and paid $2.6 million for that process. And so I’m just curious – the company went through the whole thing and then eventually leading to Frank stepping off but staying on the Board. And it seems like we’re just going through that whole thing again and I just – my question is why? I mean why hasn’t there been a sort of guiding light in this company of the last couple of years?
Ray Braun: I’m unable to answer that question.
Michael Billerman: Is there a…
Ray Braun: I’m here now and I’m looking at strategic options and I’m not spending a lot of money doing it, and we’ll let you know what we decide.
Michael Billerman: But I guess when you evaluate it coming in, what did you learn about prior decisions and prior capital and the strategic directions where ultimately nothing ended up changing. It was paying a lot of money for status quo, I guess, how did you get comfortable that if you would come to different conclusions that those would be able to be implemented?
Ray Braun: I’m a different person than the management team that was in place previously. I have the different relationship with the Board, and I will present my case and I think the Board will be reasonable in their view of it and the right decisions will be made.
Michael Billerman: But Jim is still in the Chairmanship role of the Board, isn’t that – wouldn’t you need a little bit more control in that case?
Ray Braun: I’m comfortable working with Jim.
Michael Billerman: Okay, thank you.
Operator: Our next question will come from Karin Ford from KeyBanc. Please go ahead.
Karin Ford: Hi, I wanted to ask on the ERDMAN front, given the management changes and the change in Scott’s role. Ray, just want to hear your thoughts on how you feel the brand and the relationships with the healthcare system stand today and your thoughts on that.
Ray Braun: Well Scott is still engaged as an advisor to the company. And he certainly has strong relationships with many people in our client base and he will be helping us maintain and transition those relationships. And we appreciate Scott’s help and willingness to do that.
Karin Ford: Great, thank you very much.
Operator: Our next question with come from Louis Conforti from O’Connor. Please go ahead.
Louis Conforti: Good morning guys. I have a question. There is a perspective IPO which I’m sure you’re familiar with called Richmond Honan, which by our – if imagine their math is probably going to have difficulty getting their IPO done. Meanwhile they appear to have a good geographical overlap with your portfolio in a commensurate – in terms of quality. Would you consider perhaps purchasing the company emerging with the company to give your company scale and allow Marshall Erdman to be kind of a lower percentage of your asset base?
Ray Braun: Maybe an open [ph] unit transactions. So if that opportunity were presented to me, we would certainly give it – do consideration and evaluation.
Louis Conforti: Isn’t the problem with Marshall Erdman just that it’s too big of a percentage of your asset base – it’s not that there’s something – there is anything inherently wrong with it, or that it doesn’t present a compelling opportunity. It’s just a scale issue and if you’re able to address that perhaps, you’ll be able to grow into a formidable medical office player.
Ray Braun: You’re absolutely right. The size of ERDMAN relative to the size of the legacy Cogdell Spencer hoses a risk of high volatility on earnings. And that continues to be the case.
Louis Conforti: Are you planning on doing something to address that or do you believe that that’s acceptable?
Ray Braun: I think that we need to focus on how we use ERDMAN to grow the company so that that becomes a smaller issue or we need to focus on acquiring other assets so that the size becomes smaller.
Louis Conforti: Okay, thanks.
Operator: Our next question will come from Dan Donlan from Janney Capital Markets, please go ahead.
Dan Donlan: Thanks. Ray, you said you’ve been asked by the Board to evaluate the business and come back to them with your recommendation. You said that selling ERDMAN could be one of those options. Is selling the entire company an option as well?
Ray Braun: I mean we’re public. So it’s always something that’s out there, I mean it’s not part of the focal point right now – the focal point is how do we grow the company.
Dan Donlan: Understood, thank you.
Operator: Our next question will come from Rich Anderson from BMO Capital Markets.
Rich Anderson: Thanks, just a quick follow-up. Was Scott a candidate to become CEO?
Ray Braun: I don’t know the answer to that question.
Rich Anderson: Okay, thank you.
Operator: This does conclude our question and answer session. I would now like to turn the conference back over to Ray Braun for any closing remarks.
Ray Braun: Thank you. I appreciate everyone calling in this morning and I will look forward to seeing many of you at the NAREIT conference. As always, please give us a call with any additional questions.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect. 